Operator: Good morning ladies and gentlemen, and welcome to the First Quarter Fiscal 2018 Ocean Power Technologies Conference Call. My name is Sony, and I'll be your coordinator for today. As a reminder, this conference call is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's call, Mr. Andrew Barwicki.
Andrew Barwicki: Thank you and good morning. Thank you for joining us on Ocean Power Technologies conference call and webcast to discuss the financial results for the first quarter of fiscal 2018 and the July 31, 2017. On the call with me today are George Kirby, President and CEO; and Matthew Shafer, Chief Financial Officer. George will review the operational highlights of the first quarter and then Matt will discuss the first quarter financial results. Following our prepared remarks, we will open the call to questions. The call is being webcast on our website at www.oceanpowertechnologies.com and will be available for replay later today. The replay will stay on the site for on-demand review over the next several months. Last Friday, Ocean Power Technologies issued its first quarter fiscal year 2018 earnings press release and last Thursday filed its quarterly report on Form 10-Q with the Securities and Exchange Commission. All of our public filings can be viewed on the SEC website which is sec.gov or on the Ocean Power Technologies website. During the course of this conference call, management may make projections or other forward-looking statements regarding future events or financial performance of the Company within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to numerous assumptions made by management regarding future circumstances over which the Company may have little or no control that involve risk and uncertainties and other factors that may cause actual results to be materially different from any future results expressed or implied by such forward-looking statements. We refer you to the Company's Form 10-K and other recent filings with the Securities and Exchange Commission for the description of these and other risk factors. Now I'd like to turn the call over to George to begin the discussion.
George Kirby: Thank you Andrew, good morning everyone. We appreciate your interest in today's call and we're encouraged by your participation. Today, I will review our business operations and provide an update on key activities and developments that occurred during the first quarter. I assume that most of you have seen our earnings release that was issued last Friday. As we indicated in the release, we continue to make progress on our strategic initiatives to further commercialize the PB3 PowerBuoy and to position the Company for future growth. As part of the overall strategy when I joined the Company and the business plan that we implemented, the first quarter and the remainder of this fiscal year is focused on aggressive sales and marketing efforts to drive revenue growth. The initial commercialization of the PB3 was a significant accomplishment for us, it placed us in a good position to continue current and past conversations with potential end users, and to engage with new and perspective customers. We've been very active on this front throughout the quarter. To meet the anticipated demand from potential new customers production is underway on two new commercial status PB3 PowerBuoy's that will be our third and fourth units. Oil and gas is one of the target markets that we believe has good long-term growth potential for OPT. Because of this we established the presence in Houston, Texas during the first quarter as a result of conversations and meetings with potential customers and end users, particularly in the oil and gas industry, and through the hiring of our Director of Global Applications. Many of our friends and colleagues were significantly impacted by Hurricane Harvey, as was the city of Houston and surrounding areas. This week we're working to bring supplies to those affected by the hurricane, our goal is to fill a 20-foot shipping container and deliver it for distribution directly to shelters and those that need it through our partners and employees that are on the ground. I'd like to urge you to make a donation by visiting our website and clicking on the Hurricane Harvey banner at the top of the page. In May, we attended one of the largest offshore oil and gas conferences in the world which took place in Houston. Our team and I had numerous meetings with C-level executives and continue to have follow-up conversations with them about how PB3 could potentially meet their needs. As I discussed last quarter, we're in the process of relocating our corporate headquarters and manufacturing center to a facility in Monroe, New Jersey. This will more than double the size of our existing OPT facility. The move is on-track to be completed later this calendar year having a larger facility to support our sales and marketing activities is essential to our growth. To ensure that growth we raised $7.2 million in the first quarter in the secondary common stock offering which strengthened our financial position and will support the continued execution of our business plan. Last year we won an exciting new contract with the U.S. Department of Defense's office of naval research to design a new mass-spring oscillating PowerBuoy from mission critical sensors. This PowerBuoy design differs from the current PB3; in that it will be an anchor-less station keeping low profile PowerBuoy that would most likely power mission critical surveillance sensors and the buoy's control on propulsion systems. Phase 1 of that contract scope includes the design optimization and laboratory testing of this new proprietary PowerBuoy. We currently have several patented solutions for mass-spring oscillating designs and we believe we'll be able to leverage our intellectual property to address the office of naval research needs. We expect to finish Phase 1 within the coming months, so we hope to advance to Phase 2 of the project soon there are after. In March of this year we began our six month lease with Mitsui Engineering and Shipbuilding with the shipment of our PB3 PowerBuoy to Japan. The lease was set to end in August, however MES and OPT extended that lease by one month in order for the PowerBuoy to continue to collect data. The PowerBuoy ended up generating more than a 1,000 kilowatt hours of power, and the data we obtained proved to be extremely valuable in our sales and marketing efforts. Efforts are currently underway to retrieve the PowerBuoy and to ship it back Pennington to be retrofitted with additional capabilities given the anticipated demand that we're seeing. I'll now turn the call over to Matt who will review our first quarter financial results. Matt?
Matthew Shafer: Thank you, George and good morning everyone. Revenue for the first quarter of fiscal 2018 was $195,000 which was relatively flat compared to revenue of $202,000 for the first quarter of fiscal 2017. Revenue for the first quarter of fiscal 2018 came from contracts with Mitsui Engineering and Shipbuilding and the Department of Defense, Office of Naval Research while revenue for the first quarter fiscal 2017 came from the contract with Mitsui Engineering and Shipbuilding. The net loss for the first quarter of fiscal 2018 was $2.7 million as compared to a net loss of $3.8 million for the first quarter of fiscal 2017. This decrease in net loss for the first quarter of fiscal 2018 is primarily attributable to lower product development costs and the decline in the fair value of the Company's warrant liability, partially offset by slightly higher selling, general and administrative expenses. Turning now to the balance sheet, as of July 31, 2017 total cash, cash equivalents, restricted cash and marketable securities were $12 million, up from $8.9 million on April 30, 2017. Restricted cash was $515,000 as of July 31, 2017 as compared to $488,000 as of April 30, 2017. Net cash used in operating activities was $4.2 million for the first quarter 2018 compared with $2.9 million for the first quarter of fiscal 2017. The first quarter of fiscal 2018 includes one-time cash payment of approximately $1.3 million related to the disposition of the mooring anchoring system in Reedsport, Oregon for a project that was closed out and the PB40 site remediation efforts off the coast of New Jersey that was part of the deployment permit requirements. That concludes the financial overview. I'll now turn the call back over to George.
George Kirby: Thanks, Matt. Before opening the call to Q&A, I'd like to comment on our sales and marketing strategy and the interactions we've been having with potentially customers and end-users. We continue to focus our efforts on educating the marketplace and applying the PowerBuoy to potential customer operations. Although buoys have been in the waters throughout the globe at different times over the decades -- for OPT, our PB3 PowerBuoy is a new product that has many unique features and applications. Our sales and engineering teams work with customers on an ongoing basis to not only explain the capabilities of the PowerBuoy for their specific needs. But to consider their specific applications, a large part of our recent efforts have been in working with potential customers engineering teams to understand our PB-3 PowerBuoy would integrate with their existing or future sub-C systems and operations, including the evaluation of power and communications needs and required interfaces. We're very hopeful that this work will result in PowerBuoy sales or leases which can then be leveraged for further market adoption. So that completes our prepared remarks. So operator, we're now ready to take questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Mike Bozec [ph], a private investor. Your line is now open.
Unidentified Analyst: Yes, good morning, gentlemen. Any question regard to the -- you know, as we've seen the storms here, if you could comment on their safety or the resilience of the Buoy in the conditions and then a second question being on relationship to the margins that your customers are receiving or the money they're able to make by employing these strategies versus maybe some other ones.
George Kirby: Good morning, good questions. I'll take these questions. First of all, with regard to the safety and let's just say the reliability and durability of the buoy, especially in storm conditions. Our buoy was designed for or is designed for the 100-year storm if you're familiar with that nomenclature. Actually in North Sea conditions which are some of the harshest down there, we actually have data from our PowerBuoy operating off the coast of New Jersey in hurricane such as Irene, Sandy; we actually have data that shows our buoy has been submerged underwater by 20 or 30 feet. You can imagine how much hydrostatic pressure that puts on seals, and the hall and so forth. So this design, this PB3 PowerBuoy is very much in our minds validated in very harsh conditions. We also do something called accelerated life testing in the factory where 24-hours a day, 7-days a week, continuously we are pounding the power generation system internal to the buoy which is called the PTO, the power take-off; it's operating in replicated storm conditions all the time and generating power. So we have been able to flush out a lot of the fatal failures if you would that would cause our buoy to be unreliable. So we've got pretty high confidence of the durability of the design. With regards to margins, as a practice we typically don't really talk about margins but what I can say is this is capital equipment in the oil and gas industry. A lot of the equipment that's sold in oil and gas as an example often times is customized, so they tend to command higher margins because there is more engineering that's involved and kind of tweaking of the design for specific applications. So as we begin to commercialize even more, we sell and lease; and I think our financials will pretty much represent what kind of margins we'll be seeing. But right now during the commercialization process, our job is to get these buoys in the hands of customers, get them using them in order to create market adoption over the short-term. Will that help?
Operator: Thank you. [Operator Instructions] And I'm showing no further questions at this time. I'd now like to turn the call back over to Mr. Kirby for closing remarks.
George Kirby: Great, thank you, operator and thank you all once again for your time today and your support. If you have any further questions, please don't hesitate to contact us. Otherwise we'll look forward to speaking with you again next quarter.
Operator: Thank you everyone. That concludes our call. You may now disconnect.